Operator: Good day, ladies and gentlemen, and welcome to the Miller Industries Fourth Quarter and Full Year 2021 Results Conference Call. Please note this event is being recorded. And now, at this time, I’d like to turn the call over to Mike Gaudreau at FTI Consulting. Please go ahead, sir.
Mike Gaudreau: Thank you and good morning, everyone. I would like to welcome you to the Miller Industries conference call. We are here to discuss the company’s 2021 fourth quarter and full year results, which were released after the close of the market yesterday. With us from the management team today are Bill Miller, Chairman of the Board; Will Miller, President and CEO; Jeff Badgley, President of International and Military; Debbie Whitmire, Executive Vice President and CFO; and Frank Madonia, Executive Vice President, Secretary and General Counsel. Today’s call will begin with formal remarks from management followed by a question-and-answer session. Please note, in this morning’s conference call, management may make forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. I’d like to call to your attention to the risks related to these statements, which are more fully described in the company’s annual report filed on Form 10-K and other filings with the Securities and Exchange Commission. At this time, I’d like to turn the call over to Jeff. Please go ahead, Jeff.
Jeff Badgley: Thank you, and good morning, everyone. Our fourth quarter results are reflective of the supply chain constraints, constant pressures and labor shortages that continue to impact businesses across the globe. That said, we are pleased with the demand dynamics in our business as fourth quarter revenues increased year-over-year, compared to the same period a year ago, our sales increased 13.1% to $201.7 million. Gross profit in the fourth quarter was $15.6 million, a decrease of roughly 35.7% compared to the prior year period, while gross margin in the fourth quarter dropped approximately 590 basis points year-over-year. driven by supply chain pressures, parts shortages, and effects of inflation on the cost of purchase materials, and component parts. We have enacted a series of price increases to our customers to cover the increased costs. However, as we have mentioned previously, it takes time to realize the benefits from these price increases due to the increased backlog levels. As I alluded to earlier, we continue to see extremely high levels of demand in our domestic business and have been experienced strong backlog growth. While we are encouraged by our year-over-year revenue growth, we have been unable to capture the new demand as a result of supply chain constraints and material shortages. We will continue to pursue all means available to us to actively mitigate these macroeconomic disruptions as we move forward into 2022. We had another strong quarter in our international business driven by recovery in our European markets, where we saw further increased demand and backlog growth. While we are not at a stage where shipping and production has returned to pre-pandemic levels, the growth of our international segment, in spite of these challenges, makes us confident in its ability to create value in a more normalized environment. However, the current conflict between Russia and Ukraine presents additional concerns. Now I'll turn the call over to Debbie who will review the fourth quarter financial results. And then Will is going to conclude with some remarks on our market environment. Debbie?
Debbie Whitmire: Thanks, Jeff, and good morning, everyone. Net sales for the fourth quarter 2021 were $201.7 million versus $178.3 million for the fourth quarter of 2020, a 13.1% year-over-year increase driven largely by strong market demand for our products and our elevated backlog levels. Cost of operations increased 20.8% to $186.1 million for the fourth quarter of 2021, compared to $154.1 million for the fourth quarter 2020. The increase in our cost of operations are due to higher prices for our components are at scarcity, resulting from supply chain challenges and the unfavorable margin mix of our products sales. Cost of operations as a percentage of net sales increased approximately 590 basis points from the prior year period to 92.3%. Gross profit was $15.6 million, or 7.7% of net sales for the fourth quarter 2021 compared to $24.3 million or 13.6% of net sales for the fourth quarter 2020. A decline in gross profit was driven by the inflationary and supply chain challenges referenced earlier. SG&A expenses were $11.2 million for the fourth quarter 2021 compared to $9.4 million for the fourth quarter 2020 due to greater investments in human capital to support the company's growth and other inflationary pressures from the current economic climate. As a percentage of sales SG&A increased approximately 20 basis points to 5.5% from 5.3% in the prior year period. Interest expense net for the fourth quarter 2021 was $454,000 up from $197,000 for the fourth quarter 2020 primarily due to decreases in our interesting income on distributor receivables financing and increases in distributor floorplan financing cost. Other income and expense for the fourth quarter of 2021 was a loss of $64,000 compared to a gain of $275,000 for the fourth quarter 2020. The increase was largely attributable to currency exchange rate fluctuations. Net income for the fourth quarter 2021 was $2.7 million or $0.24 per share, compared to net income of $12 million, or $1.05 per share in the fourth quarter of 2020. Now let me move to discussion of our financial results for the full year of 2021. Net sales for the full year of 2021 were $717.5 million, compared to $651.3 million in the prior year period, an increase of 10.2%. Gross profit for the full year 2021 was $69.9 million, or 9.7% of sales compared to $78.4 million, or 12% of sales for the full year of 2020. Net income for the full year of 2021 was $16.3 million, or $1.42 per share a decrease of roughly 45.5% compared to net income for the full year of 2020 of $29.8 million or $2.62 per share. Turning to the balance sheet, cash and cash equivalents as of December 31. 2021 was $54.3 million compared to $50.4 million as of September 30, 2021 and $57.5 million as of December 31, 2020. Accounts receivable as of December 31, 2021 totaled $154 million compared to $131.3 million as of September 30, 2021 and $141.6 million as of December 31, 2020. Inventories were $114.9 million as of December 31, 2021 compared to $108.8 million as of September 30, 2021 and $83.9 million as of December 31, 2020. Accounts payable as of December 31, 2021 was $119 million compared to $87.8 million as of September 30, 2021 and $85.5 million as of December 31, 2020. Despite the challenge as Jeff mentioned, we continue to exercise financial discipline. When more normal market conditions return, we believe that we had set up the business for success given our inventory build-up for available parts and financial flexibility that comes with our strong balance sheet. Lastly, the company also announced its Board of Directors approved our quarterly cash dividends of $0.18 per share payable March 28, 2022 to shareholders of record at the close of business on March 21, 2022, marking the 45th consecutive quarter that the company has paid the dividend. Now, I'd like to turn the call to Will for some closing remarks.
Will Miller: Thank you, Debbie. As we have said, we are extremely encouraged by the favorable demand dynamics in our markets despite supply chain challenges and inflationary pressures that have significantly hampered our bottom-line growth. We remain confident in the company's future prospects. Above all else, we remain committed to our best-in-class customer service, preserving our culture of operational excellence in the face of these challenges. Though we remain unsure of when the macroeconomic environment will return to normal. We continue to maintain a strong financial position that will allow us to quickly capitalize on improving market conditions and potential new growth areas that can generate stakeholder value in the quarters and years ahead. In closing, Jeff, and I would like to thank our employees, customers, suppliers and shareholders, their ongoing support of Miller Industries, especially during these challenging times. Thank you again for joining us this morning. Operator, please open the line for questions.
Operator:
Operator: And it appears there are no questions at this time. I'd like to turn the call back to the management team for any additional or closing remarks.
Will Miller: I'd like to thank you all again for joining us on the call today. And we look forward to speaking with you on the first quarter 2022 conference call. Thank you.
Operator: And this does conclude today's conference call. I would like to thank you again for your participation. You may now disconnect.